Operator: Welcome to the Oshkosh Corporation’s fiscal year 2010 second quarter financial results conference call. (Operator Instructions) It is now my pleasure to introduce your host, Mr. Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation.
Pat Davidson: Good morning everybody and thanks for joining us. Earlier today, we published our second quarter results for fiscal 2010. A copy of the release is available on our website at www.oshkoshcorporation.com Today’s call is being webcast and is accompanied by a slide presentation which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to Slide 2 of that slide presentation. Our remarks that follow including answers to your questions include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different. These risks include among others matters that we have described in our Form 8-K filed with the SEC this morning and other filing we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call if at all. During our second fiscal quarter of 2009, we recorded non-cash charges for the impairment of good will and other long-lived assets. Additionally, we sold our European Refuse Collection vehicle and fire apparatus businesses in July and October of 2009 respectively. All sales, income and backlog figures that we discuss today exclude non-cash impairment charges and refer to continuing operations only unless otherwise stated. Presenting today for Oshkosh Corporation will be Bob Bohn, our Chairman and Chief Executive Officer, Charlie Szews, our President and Chief Operating Officer, and Dave Sagehorn, our Executive Vice President and Chief Financial Officer. Let’s begin by turning to Slide 3, and I’ll turn it over to you Bob.
Robert Bohn: Thank you Pat. Good morning and thank you all for joining us today. Three months ago, we shared with you that our fiscal year was off to a very strong start, driven by our well-executed ramp up of production and sales under the M-Wrap All Terrain vehicle, M-ATV contract. I’m here today to let you know that we have continued where we left off and are proud to announce another stellar quarter. For the quarter, our sales increased 131% to $2.68 billion leading to record quarterly operating income of $494 million and record quarterly earnings per share of $3.22. Once again, this outstanding performance was driven mainly by strength in our Defense segment supported by improved results in our Access Equipment segment, which was aided by the M-ATV production as well as improved performance in its base business. Sales in most of our non-Defense businesses in the quarter were flat or down as we continued to experience weaknesses in many of our end markets. I would like to thank our employees, suppliers and government customers for their great support in ramping up and sustaining the quality and high rate production to quickly get the M-ATV’s to our war fighters in Afghanistan to save lives. Like any rapid short duration program, we had to overcome operational challenges, but the team has pulled together to deliver to schedule for our war fighters and we’re pleased to hear that the vehicles are performing extremely well in the theatre. We generated strong cash flow again this quarter, allowing us to reduce our debt by an additional $239 million. We also completed a $500 million senior notes offering in the quarter that Dave will talk about later. Please turn to Slide 4 for a discussion of current conditions. We were awarded an order for an additional 1,460 M-ATV’s in February, taking the total quantity ordered of these life saving vehicles to 8,079. At that time, we also received instructions to modify our delivery schedule. Starting next month, we will reduce our monthly M-ATV production quantities. This now means that we’ll be building and shipping M-ATV in lower quantities for the remainder of fiscal 2010 and extending production and sales into the first quarter of fiscal 2011. There is potential for additional M-ATV orders principally through four military sales FMS as well as potential sales of new variance of the M-ATV. Charlie will talk in more detail about these opportunities in a few moments. On February 12, the U.S. Army confirmed its award of the family of tactical vehicles, the FMTV contract to Oshkosh. This was a great win for both Oshkosh Corporation and the U.S. Army. We’re busy producing test vehicles and are continuing to prepare for full rate production that will allow us to deliver FMTV’s beginning in fiscal 2011 and continuing through fiscal 2014 and hopefully beyond. We are absolutely honored to have the opportunity to manufacture these important vehicles. There are many other activities occurring in our Defense segment that illustrate that we’re just simply not relying on the M-ATV and the FMTV to carry us forward. For example, during the quarter, we announced our teaming agreement with General Dynamic Land Systems in Canada to pursue a couple of Canadian Defense opportunities. We also announced plans to open a new, enlarged engineering service facility in Lower Michigan to locate more of our talented engineers closer to our major customer, [Taekon]. While the outlook for our Defense business for 2010 is stronger than it has ever been, we continue to fact industrial wide challenges in most of our non-defense markets. We believe the markets for our non-defense products, which include aerial work platforms, tele-handlers, concrete mixers and tow trucks to name just a few, are at or near the bottom. To adapt and take advantage of future growth opportunities, we continue to selectively invest in these businesses, including an access equipment manufacturing facility in China. We also remain focused on maintaining high service levels, staying nimble in managing our costs so that we can benefit from the eventual recovery. We recently have seen some positive data points and believe that the recovery will begin to gain strength in 2011. With that, I’ll turn it over to Charlie for a more detailed discussion by segment.
Charles Szews: Thank you, Bob. Please turn with me to Slide 5. The story for all our segments continues to be about execution. This is especially true for our Defense segment, whether we’re talking about the M-ATV, or upcoming programs such as the FMTV. We continue to produce M-ATV’s in an accelerated pace in the second quarter while sustaining quality higher production for our other Defense programs. We invested heavily in leads, supply chain, materials and quality talent that are delivering excellent execution on our programs. As Bob mentioned, we will begin to ramp down production of M-ATV’s starting in May. We’ll accomplish this by stopping vehicle assembly at our GLG facility in Pennsylvania at that time. GLG will still assemble all the crew capsules for the M-ATV program as well as perform government requested upgrades to the vehicles. We expect to continue to deliver M-ATV’s currently under contract into November of this calendar year. In addition to our strong performance on vehicle deliveries, we’ve increased our support in Afghanistan with additional field service representatives. We have also received additional contract awards for spares, especially for our form penetrator EFP and rocket propelled grenade RPG protection kits. We learned to introduce our new M-ATV variance this quarter that we believe meet our customer’s expanding requirements. In February, we announced our utility and ambulance M-ATV variance. Both of these variants offer new capabilities while still delivering the best in class mobility and superior crew protection of the M-ATV. And, this summer we’ll be producing a customized variance to a Special Forces command. We believe there is good opportunity for foreign military sales of M-ATV units as Bob mentioned We aren’t going to discuss whom and when until we have signed contractor contracts, but some nations have expressed a sincere interest in procuring these units and we are in various stages of dialogue with a few of them. It is likely that sales under any FMS contracts would not occur until fiscal 2011, along with what we still believe will be a continued robust spare parts and aftermarket service business for the M-ATV, could extend out for several years. Turning to the FMTV program, we have been working very closely with our U.S. Army customer as we produce our FMTV test units. We’re making good progress on the facility being constructed for this program, which we expect, will be operational this summer. In early April, we held a supplier conference to communicate our priorities and expectations for the FMTV program launch. We expect margins on the FMTV program will be very low during start up and then improve as we reach full rate production. For those of you who have been following the President’s budget request for fiscal 2011, you are likely aware that the President is requesting significantly lower funding for the family of heavy tactical vehicles, FHTV. However, we believe there could be significant funding for our FHTV reset and recap activity in the operation and maintenance army budget request. We don’t have visibility into the details of this budget line item, which is why we can’t provide more clarity at this time. Even with the reset recap funding, we believe total funding for FHTV will likely be lower than in prior years due to budgetary pressures as a result of the recessionary economy and the Army reaching its desired FHTV acquisition quantities. Assuming the President’s budget request has not changed significantly before its signed into law, we’d expect this lower funding to impact us starting later in our fiscal 2011. We’re encouraged however, by the level of funding being requested for new FMTV’s. We mentioned last quarter that it won’t surprise us to see increased instances of Defense programs being put out for bid. Given the increased focus on acquisition reform, as well as Defense budgetary pressures, we believe the DOD will choose to open up most programs for competition in the future. Of course, we expect that we’ll be a strong competitor to retain any Oshkosh programs that may be competed. We have successfully used the appetite to compete for the M-ATV and FMTV programs within the last year, and expect to compete in the upcoming joint light tactical vehicle or JLTV or as well as Humvee recap competitions as they develop. We believe that our purchasing power, lean manufacturing and technology make us a strong competitor in military truck competitions. Please turn to Slide 6. While our Access Equipment segment has benefited greatly from its M-ATV manufacturing, we have yet to see a significant change in the business climate for our traditional Access Equipment business. Maturing markets in the U.S. and Europe for Access Equipment business remain weak and we believe they are moving along the bottom. Outside of some notable success in emerging markets, we believe these soft conditions will remain until equipment utilization and ramp up rates begin to turn for our customers. Additionally, customer access to credit continues to be a challenge for the industry. We are however, encouraged by the positive trend we’re seeing in used equipment prices, which we believe is an early indicator for this market. This is particularly encouraging since we’ve just reported our second consecutive quarter of improved backlog after a number of quarters of sequential decline. We continue to believe that we will see improvement in the Access Equipment markets in 2011, but it’s still too early for us to make any predictions on just how strong the recovery will be. GLG presented several new products again at the huge BAUMA Construction Equipment Show in Munich last week. Attendance was limited, perhaps down 40% due to reduced air travel following the Icelandic volcano eruption, but business sentiment at the show was about as expected. Gradual recovery is expected by most for the U.S. and Europe with greater optimism from emerging markets. GOG performed well in the M-ATV contract again in the second quarter both continuing M-ATV assembly, production of crew capsules and retrofit activities. As I mentioned earlier, we’ll be winding down M-ATV at GOG in May. To the extent that we have increased production requirements for traditional GOG products, we’re transitioning employees to meet these requirements. Finally, we continue to work on the start up of our factory in China and expect to begin shipping from our Tianjein facility in the third fiscal quarter with boom deliveries to follow shortly thereafter. We are achieving a high level or high percentage of localized content during our first year of productions, which is a testament to the hard work of our team on this project. The team has also rapidly expanded distribution in the region to support the factory. Presence in this very important growing market is important to GOG’s long-term success. Please turn with me to Slide 7 to discuss our Fire and Emergency segment. While most business in the Fire and Emergency segment are experiencing lower sales as a result of weak markets, our airport products group achieved continued success in the second quarter of 2010 delivering products around the world. The dedicated presence that we established in Asia for this business has really been paying dividends. We are however, seeing increased price competition in this market, which we’ll continue to monitor. The U.S. fire truck market was down approximately 30% for the 12 months ended December 31, 2009. This compares to the typical peak of trough of around 10% and reflects the sharp impact of lower municipal tax receipts arising from the deep economic downturn that we’ve experienced in the U.S. During the last 12 months however, Pierce has continued to gain market share and is pursuing international opportunities illustrating the segments’ successful approach with technology, new product development and customer service. This approach was on display just last week on the Annual FDIC show in Indianapolis where we introduce an all new Global Aircraft Rescue and Firefighting, or ARFF unit as well as a new ambulance offering from Medtech known as a Redimedic. The new ARFF unit delivers innovative fire suppression technology, an improved chassis and new safety advancements, all on a lighter weight chassis that improves performance. The Redimedic ambulance provides maintenance, improves performance and is simple to assemble. The team at Medtech was able to accomplish all this while maintaining a focus on delivering a value priced ambulance suited for the current challenging funding environment. We continue to assess the direct and indirect impacts of health care legislation changes on our Mobile Medical unit business. There are puts and takes that are difficult to predict, but if more than 30 million new people become covered by health insurance, we believe there is likely to be a need for additional diagnostic imaging equipment. It remains to be seen whether this equipment will be six locations or Mobile Medical units. Please turn to Slide 8 for a discussion of our Commercial segment. North American markets for concrete mixers and batch plants continue to operate at very low levels, although our sales in the quarter were a little higher than the prior year quarter. We’re experiencing solid quote and order activity in Latin America and the Middle East, but these markets aren’t large enough to overcome the weakness in North America. As we said before, we’re going to need some meaningful improvement in U.S. construction activity before these markets turn around. Our refuse collection vehicle, our RCV business has held up pretty well since the economy started to tumble in 2008. Year over year sales were lower in the quarter, largely due to the timing of orders from the large national fleets. We did however; receive strong RCV orders during the quarter, supporting our outlook for the business. We’ll be making several key new product announcements at the Waste Expo Show next week in Atlanta and if you plan to be at this show please stop by to visit us. Finally, the commercial segment continues to be a variable supplier fabrication for our Defense segment, heavy tactical vehicles which helped this segment turn a small profit. The continued focus on managing costs also helped segment performance in the face of very difficult replacement market conditions. That’s a brief overview of our operations. Dave, please take it from here. 
David Sagehorn: Thanks Charlie and good morning everyone. Please turn to Slide 9. Consolidated net sales of $2.86 billion for the second fiscal quarter were up more than 130% compared with the same quarter of last year due almost exclusively to M-ATV sales in the current year quarter. Operating income increased to $494.3 million or 17.3% of sales. Operating income margins benefited from significantly improved margins in our Defense segment as well as improved performance in our Access Equipment segment, attributable to our M-ATV production for Defense with better results in GOG’s base business. Earnings per share from continuing operations for the quarter was $3.22 compared with a loss of $0.20 during the second quarter of fiscal 2009. Operating expenses and inter segment profit elimination were above prior year levels due primarily to higher incentive compensation expense and higher inter segment profit elimination related to the inter segment M-ATV sales to inventory. As Bob mentioned, we reduced our debt by $239 million in the quarter. During the quarter, we also issued 500 million of senior notes that mature in 2017 and 2020. We used the net proceeds of $489 million from the notes issuance to pay off debt that would have matured in 2013. As of the end of March, our debt consisted primarily of a $1.11 billion term loan B that matures in December 2013 and $500 million of senior notes, $250 million of which matures in March 2017 and $250 of which matures in March 2020. We ended the quarter with cash of $845 million. As we said during the first quarter earnings call, a significant portion of this cash is related to the timing of payments for our M-ATV’s and will ultimately be used to pay suppliers as we continue to produce these units. Let’s take a look at each of the segments in detail. Please turn to Slide 10. Defense segment sales were $2.27 billion in the second fiscal quarter, an increase of 285% compared with last year’s second fiscal quarter due to M-ATV related sales of $1.63 billion, of which approximately 15% was for parts and service. We sold 2,921 M-ATV’s in the quarter as we continued to demonstrate our ability to quickly deliver on this extremely important program. Operating income increased from $75 million last year’s second fiscal quarter to $452.8 million in the second quarter of fiscal2010. Operating income margins in the quarter increased to 19.9% compared with 12.7% in the second quarter of fiscal 2009. The improvement in margins over the prior year quarter was the result of the significantly higher M-ATV related volume, lower material costs and a better mix in the parts and service business. M-ATV margins benefited from a full quarter of the impact of material cost reductions achieved in the first quarter fiscal 2010 as well as a higher percentage of M-ATV parts and service sales. There was minimal impact on results in the quarter from the FMTV program. Backlog in this segment was $4.3 billion at March 31, 2010, up 76.7% compared with March 31, 2009. The M-ATV program accounted for approximately $2 billion of the total backlog. Please turn to Slide 11. Access Equipment segment sales were $990.1 million in the second fiscal quarter, up 2975 compared to with the same period last year. This increase was driven almost entirely by inter segment M-ATV sales to the Defense segment of approximately $737 million. Excluding inter segment M-ATV sales, Access Equipment sales were $252.9 million, up 1.5% compared with the prior year quarter. Without the benefit of favorable foreign currency exchange rates, Access Equipment segment sales would have been down 2.4% compared with the prior year quarter. New equipment sales in North America and Europe, Africa and the Middle East, or EMIA were down 14% and 25% respectively, as a result of continued weak construction markets and tight credit. The rest of world markets in the aggregate were up more than 130% led by strength in South America and the Pacific Rim including Australia. The segment recorded operating income of $46.1 million compared with an operating loss of $49.1 million in the prior year quarter. Operating income was driven by M-ATV sales to our Defense segment. Access Equipment segment margins on inter segment M-ATV sales in the quarter improved from mid single digits in the first quarter to high single digits. Operating results from GOG’s base business were significantly improved over the prior year quarter, due largely to lower material costs, fewer customer trade ins and foreign currency translation benefits. Backlog for Access Equipment was $191.8 million at March 31, 2010, an increase of 25.8% compared to March 31, 2009, largely reflecting higher order outside of North America and EMIA. GOG’s backlog was also up approximately 87% compared with our first fiscal quarter. GOG’ backlog does not contain any M-ATV related products. Please turn to Slide 12. Turning to Fire and Emergency, sales in the second fiscal quarter declined 17.2% to $234.2 million compared with the prior year second fiscal quarter. Lower sales in most businesses in this segment were the result of lower municipal spending, weakness in the economy and lower sales of Mobile Medical units due to the uncertain health care environment. The segment reported operating income of $19 million compared with operating income of $25.3 million in the prior year quarter. Operating income margins in the segment decreased to 8.1% compared with 9% in the prior year quarter due largely to lower volumes. Compared with March 31, 2009, Fire and Emergency backlog was down 19.5% to $512 million at March 31, 2010, mainly due to lower order rates across most of the segment as a result of lower municipal spending and the timing of prior year orders. Please turn to Slide 13. Commercial segment sales increased 23.7% to $145.9 million compared with last year’s second fiscal quarter. The increase in sales was a result of inter segment sales of fabrications to the Defense segment, higher international concrete mixer sales, and lower RCV sales. We recorded operating income of $1.4 million or 1% of sales for the segment in the second fiscal quarter compared with a loss of $5.9 million in the prior year quarter. Margins in the quarter benefited from inter segment manufacturing activity and cost reduction actions implemented in fiscal 2009. Backlog for the Commercial segment at March 31, 2010 was $99.5 million, up 3.6% compared with March 31, 2009. Please turn to Slide 14 for a qualitative update to our outlook for fiscal 2010 starting with Defense. We expect to continue to deliver strong earnings through the remainder of fiscal 2010 due to continued M-ATV production although at lower quantities of the first two quarters of fiscal 2010. We currently expect to deliver between 1600 and 1700 M-ATV’s in the third fiscal quarter and between 700 and 800 in the fourth fiscal quarter. We also believe that M-ATV parts and service sales in the third and fourth fiscal quarters will be modestly higher than experienced in the second quarter as we continue to meet the initial provisioning requirements for this program. M-ATV parts and sales could fluctuate as our customer has asked us to hold forward deliveries for various parts orders for fiscal 2011 and to fiscal 2010 and they could make similar requests in the future. We expect our non M-ATV Defense business for the remainder of the fiscal year to be modestly lower than the prior year due to lower medium tactical vehicle replacement or MTVR armored goods sales, and lower FHTV requirements. We now believe that Defense operating income margins for the full year will be near the midpoint of our first and second quarter segment margins with margins in the third quarter expected to the higher than in the fourth quarter as a result of higher volume and a more favorable sales mix. We continue to believe that conditions in the U.S. and European Access Equipment markets will remain relatively flat through fiscal 2010, but expect improvement outside of these regions. We also believe that we’ll see a seasonal improvement in sales in the third quarter compared with the second quarter of fiscal 2010. We expect that operating margins at GOG excluding its M-ATV business will continue to show significant improvement over the prior year levels due to lower material costs and reduced provisions for both bad debts and restructuring charges. We do not believe however, that GOG excluding its M-ATV business will have positive operating results for the full fiscal year. We continue to believe that sales in our Fire and Emergency segment will be lower in fiscal 2010 compared with fiscal 2009 due largely to ongoing weakness in municipal spending as a result of the impact of the recession on tax receipts. And as we stated before, we believe that there will be pressure on operating income margins in the segment compared with fiscal 2009 as we saw in this quarter. Our expectations for fiscal 2010 concrete mixer and batch plant sales continue to remain quite low although international activity may help deliver higher full year sales. We don’t expect meaningful improvement in these markets until 2011. We continue to expect our RCV sales to be flat to slightly higher in fiscal 2010 compared to fiscal 2009. Solid RCV sales and inter segment sales to Defense should help the Commercial segment deliver positive operating results for full year. We estimate that our tax rate for the full year will be between 35% and 36% and continue to expect that our capital spending for fiscal 2010 will be approximately $100 million. Finally, we paid down more than $400 million of debt through the first two quarters of fiscal 2010 and plan to further reduce our debt throughout the remainder of the fiscal year, driven by expected strong earnings. With that, I’ll turn it back over to Bob to conclude our prepared remarks.
Robert Bohn: We delivered another record quarter driven by our Defense segment and we expect the Defense segment will continue to deliver strong results for the remainder of the fiscal year, propelling us to a record year in terms of sales, operating income and earnings per share. While most of our non-Defense businesses continue to experience soft markets as a result of the weak economy and tight credit markets, Oshkosh has been decisive in driving down cost and increasing our market share. Recently, we’ve seen some positive signs in the economy and in some of our markets that lead us to conclude that we will see improved market conditions for a number of our businesses in 2011. We believe that our actions during the downturn including selectively investing in growth opportunities, winning major new programs, improving our cost structure and reducing our debt by well over $1 billion, will position us to take advantage of the recovery. Thank you again, for your continued interest in and support of Oshkosh Corporation. With that, I’ll turn it back over to Pat and the operator and what a wonderful quarter. Thank you.
Pat Davidson: I’d like to remind everyone to please limit your question to one plus a follow up. Please avoid questions with multiple sub parts as it makes it difficult to ensure that everyone has an opportunity to participate. After the follow up, we ask that you please get back in the queue and we’ll give you an opportunity to ask additional questions. Operator, please begin the question and answer period of the call.
Operator: (Operator Instructions) Your first question comes from Jerry Rivich – Goldman Sachs.
Jerry Rivich – Goldman Sachs: Can you please talk about the timing of the Humvee recap program and which of your vehicles is the best fit for the program?
Charles Szews: The Humvee recap program, the RSP hasn’t come out yet, but it’s probably going to come out this summer, and there there’s a process where we’ll have to submit bids. Two or three companies are likely to then receive Humvee’s, upgrade them and then there will a production proposal after that, after the government sees what possibilities there are in terms of upgrading the Humvee to be more mobile and more survivable. This whole process is probably mostly late fiscal ’11, fiscal 2012 sales, most likely under that program, so it’s a longer developing program. But we’re not offering any new vehicles per se. It would be essentially we’d be offering our upgrades or options to the vehicle like everyone else.
Jerry Rivich – Goldman Sachs: Can you please talk about what portion of your FHTV fabrication you’re handling in the Commercial segment now and how much military fabrication you expect to run through those facilities when you ramp up FMDV production?
David Sagehorn: The percentage that we’re running through there now, it’s a very small percentage of the requirements for our FHTV program.
Charles Szews: The FMTV final sourcing isn’t complete so it’s most likely going to be similar. It will be a very small percentage.
Operator: You're next question comes from Walter Liptak – Barrington Research.
Walter Liptak – Barrington Research: In the military, just to help understand how much revenue is going to be running through for the various programs, can you give us an idea of how much parts went through the quarter? I may have missed it already.
David Sagehorn: We don’t qualify or quantify I should say the parts revenue by segment. What we did say is of the M-ATV volume of $1.63 billion in sales, approximately 15% of that was for parts and services as we provision up for the requirements under that program.
Walter Liptak – Barrington Research: You mentioned that it’s going to be higher in the third and fourth quarter going forward. Can you give us an idea of what percentage you might see as M-ATV parts?
David Sagehorn: What we said was modestly higher than I’ll say the absolute dollars that we saw in the second quarter, so it will become a larger percentage of total M-ATV volume as our truck volumes come down in the third and fourth quarter.
Walter Liptak – Barrington Research: If I could switch over to the Access business, I wonder if you could tell us about excluding any military running through those operations, what you think you’re breakeven level might be at this point.
David Sagehorn: We were, let’s call it $1 billion annualized in the second quarter and consistent with what we’ve said previously, it does need to be north of there. We’re continuing to try to manage the costs, take costs out, become more efficient in that business so we can lower the breakeven point, but it’s going to be hundreds of millions of dollars higher on an annualized basis than where it is now.
Walter Liptak – Barrington Research: And with the backlog improving in Access Equipment are we thinking that we’ve already seen the lows and we’re going to see higher production going forward? Is it a turn or how could you characterize that?
Charles Szews: We do believe that we’ve seen the lows or at the lows or whatever you want to call it certainly in North America and Europe. Our production already is up. Last year as we disclosed earlier, we were producing less than what we were selling, so now that’s we’ve brought our inventories in line, we are producing to demand, so our production is up significantly. We brought a lot of people back to work and our plants are running pretty nicely right now. But we’re certainly not anywhere close to the production rates that we were at in 2007, 2008 and hopefully that isn’t too far off.
Walter Liptak – Barrington Research: How many lines are running in making AWP’s?
Charles Szews: I don’t have a specific number off the top of my head, but we are running.
Operator: You're next question comes from Alexander Blanton – Ingalls & Snyder. Alexander Blanton – Ingalls & Snyder The GOG part again, if the margins were 6.75% on the inter segment sales, then GOG would have been at break even, but it looks as if it wasn’t because you were in high single digit margins. Can you clarify that? There must have been a small loss excluding the inter segment sales, is that correct?
David Sagehorn: That’s correct.
Alexander Blanton – Ingalls & Snyder: So high single digits on something like 8%, is that what you’re talking?
David Sagehorn: High single digits. We’ll let you decide where in the high single digits you want to be.
Alexander Blanton – Ingalls & Snyder: The same kind of question on Defense. Overall margin was 19.9%. Now on the M-ATV part, was it higher or lower than that or about the same?
David Sagehorn: Overall, M-ATV comprised about 70% of the sales for the quarter, so probably it’s not too far from there and a little bit higher than the segment total.
Alexander Blanton – Ingalls & Snyder: How many units did you produce? I don’t think you mentioned that, M-ATV units in the quarter.
David Sagehorn: We sold 2,921 M-ATV’s to the government in the quarter.
Operator: You're next question comes from [Robert Kakacks – Suntrust Robinson Humphrey]
[Robert Kakacks – Suntrust Robinson Humphrey]: I had a quick question on the M-ATV delivery schedule. Do you see it as a between the third and fourth quarter and into the fourth quarter as just sort of a gradual decease or is there a significant, on a monthly basis, or is there any sort of difference between the third and fourth quarter, a more marked decrease in delivery or does it sort of follow a linear path?
David Sagehorn: In our Form 10-Q which if it’s not out, it’s coming out probably today. We do disclose that our M-ATV deliveries in the third fiscal quarter will be between 1600 and 1700 units and then in the fourth fiscal quarter between 700 and 800.
Operator: You're next question comes from Charles Brady – BMO Capital Markets.
Charles Brady – BMO Capital Markets: With respect to the defense business, and the install base, now that you’ve got the medium truck for the army, obviously that throws into the mix a large install base that while you’ve been selling parts for some time, I imagine on a recap basis, you hadn’t done a whole lot of recap work for those, some of which are 15 and 20 years old. Can you just talk about in the context of that program as well as the other programs we’ve been building for a number of years, what your recap opportunity is so we can get a sense maybe of the Defense business kind of longevity beyond just these sort of one off original first fit type of contracts.
Charles Szews: It’s difficult to provide any kind of quantitative information on that, but certainly in an era where there could be a drawdown of troops starting in mid 2011 or something out of Afghanistan and as you know, there is that activity going on in Iraq today. As they’re pulling out vehicles, they bring them back to good condition, so the Army and the Marines have different programs in place and based upon the condition of the vehicle, there’s different amounts of work done. But generally speaking at a draw down kind of situation, those reset and recap opportunities increase significantly as they’re pulling them off and we would think that there would be a shift in Defense budget spending from procurement toward more being in recap and reset in the coming years.
Charles Brady – BMO Capital Markets: In terms of install base on the FMTV, is there 50,000 to 55,000 units and about the same on the heavy trucks? Can you give us some sense of what the install base potentially is out there for various programs you’ve been working on?
Robert Bohn: The install base for FMTV’s is about double what it would be for our family of heavy tactical vehicles and our number is, it’s hard to tell exactly because we don’t have the current government inventory, but we produced of heavies, somewhere between the Army and the Marines, somewhere around 65,000 to 67,000 over the last 25 years, and how many are still in operation I don’t know. 
Operator: You're next question comes from Ann Duignan – JP Morgan.
Ann Duignan – JP Morgan: FMTV, just wanted to clarify your comments on you expect very low margins during the low rate of initial production. Recently I thought I had heard you say that you expected mid single digit margins in that product program. Can you just clarify or help me understand. Did I just write down mid single digits inferred or should we expect mid single digit margins once you ramp up on that program?
David Sagehorn: I think you’re inferring it, maybe, but I don’t remember us ever saying percentages.
Ann Duignan – JP Morgan: Can you give us any direction there?
David Sagehorn: We’d prefer to wait until we start production and start delivering vehicles.
Ann Duignan – JP Morgan: On the Commercial side and Fire and Emergency, I think you said Fire and Emergency you gained market share but that there was significant pricing pressure in the environment. Can you talk about both Commercial and Fire and Emergency from a pricing going into 2011 versus high input costs. I would imagine there would be significant pressure on both those segments due to lack of volume. Can you just comment on what your expectations might be?
David Sagehorn: Material costs are a big of a wild card. Certainly there’s been an increase in steel and oil prices recently. There’s still a lot of steel capacity offline, so that could be brought online. So it’s a little bit difficult to tell where those input costs are going to go, but probably trending higher. The real question is how high. In the Commercial segment, I just think that the profitability is such for all producers that we’re going to be passing along price increases to handle any kind of cost increases we face. There’s just no room not to do something like that. It doesn’t matter where demand is right now. And in the Fire and Emergency segment, field costs aren’t quite as significant in that segment so it’s not quite as big of a headwind. But my guess is that we’re going to follow a practice of announcing price increases that are needed to adjust to the cost environment.
Operator: You're next question comes from Paul Bodner – Longbow Research.
Paul Bodner – Longbow Research: I had a follow up question on the aftermarket side in Defense. Are these aftermarket pieces in parts you’re doing over there for the M-ATV, are they a part of the original contracts or are those in addition to the contracts that have already been signed?
Robert Bohn: Say it again please.
Paul Bodner – Longbow Research: On the M-ATV, the parts and services that you’ve been building here during the quarter and you said it’s going to be a bigger percentage of sales in the back half of this year, were those already included in the contracts already sold or is that on top of the contracts that you have already signed with the Pentagon?
Charles Szews: When we received our initial order as an example on June 30 of last year, that included the initial order for vehicles as well as some parts, spare parts, and then we’ve continued to receive as you know, additional delivery order for trucks, and sometimes those do include orders for parts and service. Other times we received separate orders just for the parts and service.
Robert Bohn: We continue to receive DOA orders on a regular basis for parts
Paul Bodner – Longbow Research: For the FMTV side, what’s the situation with the aftermarket piece of that contract? I know you’ve got the original equipment side, but when are they going to make a decision on that or how is that going to come about?
Robert Bohn: We have always sold FMTV parts at lower volumes I guess and certainly as we enter production we’d expect to be able to achieve a much higher percentage of the parts and service.
Paul Bodner – Longbow Research: Would it still be a significant piece since they have so many vehicles out there or would you displace them?
Robert Bohn: They are today, would we displace them, I guess time will tell, but at some point we’re going to be the only qualified producer of certain parts because configuration changes even if small, happen every day of the week and under current production by BE as well as us, and so they need to have the current PDP and at some point, that wouldn’t happen.
Paul Bodner – Longbow Research: In general also in Defense, outside of the U.S., what opportunities do you have not only for M-ATV but for anything else?
Robert Bohn: There are competitions that we’re involved in globally. We’ve announced a couple of them like we’re teamed with General Dynamics Land Systems up in Canada. That’s one that’s publicly announced and we have other opportunities globally for the M-ATV, for the FMTV, for the TVR, really all of our programs. We have a dedicated business development team for this deployed globally and so we’re working opportunities all the time. We don’t have anything to announce today in terms of contracts, but certainly we’re working those diligently.
Operator: You're next question comes from [Chris Rousser – Robert W. Baird]
[Chris Rousser – Robert W. Baird]: There was a relatively significant Defense telehammer order announced by the DOD either at the very end of 2Q or the beginning of the 3Q. Did that fall into GOG’s backlog in the second quarter?
Charles Szews: No, that will be a Q3 order.
[Chris Rousser – Robert W. Baird]: So then the implication is you had a fairly significant pick up in I guess implied orders in Access in the quarter. Can you give us a little more color? I know that outside of North America and Western Europe, but where you’re seeing that strength. Is it a function of new capacity opening up in China next quarter and when are those orders going to be delivered?
Robert Bohn: We saw a nice improvement of orders really across all regions. Obviously China or Asia generally, Latin America, Australia, Middle East were very strong. Actually even Europe was, but Europe was a very low level in the second quarter of last fiscal year. But we did see an improvement in orders really globally in all regions.
[Chris Rousser – Robert W. Baird]: Touching more on the material cost side, in the Defense segment, where your pricing is relatively more fixed, can you talk about how far out you’re protected on your steel or components that include a large percentage of steel costs going forward?
David Sagehorn: In our Defense contracts, they’re basically all firm fixed price but there are price escalators in the contract, and as far as protection, we do receive firm fixed quotes from our suppliers for a large percentage of the materials in all of our contracts. They tend to have escalators as well. In past times, in 2004, 2008 where there was a lot of escalation in steel costs, where we nicked a little bit when some very small suppliers could not absorb those increases, yes, but for the most part, our Defense segment we have been able, our supply base has been able to absorb any steel cost increases.
[Chris Rousser – Robert W. Baird]: Has there been on the incremental orders for M-ATV, was there any change in the pricing to those orders or should we expect the same sort of margin profile as the previous trucks?
David Sagehorn: Very similar from a margin profile standpoint.
Operator: You're next question comes from Ben Elias – Sterne, Agee & Leach.
Ben Elias – Sterne, Agee & Leach: I was wondering if there are any upticks that I missed in the FMTV. What I do see is for the October/December quarter you have an order of $281 million, is that correct, the delivery order. Has there been any follow-ups on that?
Robert Bohn: That delivery order does extend beyond just the first quarter and there have been no additional delivery orders received yet at this time.
Ben Elias – Sterne, Agee & Leach: What’s the expectation. Is there any expectation on an annualized rate what the number of vehicles or what that could be for 2011?
Robert Bohn: We don’t really have any comment today on the annualized rate, but certainly we would expect to be receiving delivery orders every year under this contract for the next two years.
Charles Szews: The whole program is up to a quantity of 23,000 vehicles between 2011 and 2014 and the first delivery order is for about just under 2,600 vehicles and trailers.
Operator: You're next question comes from [Davila Lucas – Morningstar] 
[Davila Lucas – Morningstar]: I had a question about the MRAP. I know you received an award to retrofit some of the legacy MRAP’s and I’m curious as you look out if you see any more funding or if there’s any more potential business for just the legacy MRAP’s.
Robert Bohn: We think you’re commenting about forward legacy MRAP’s. Are there additional opportunities, yes, there are.
[Davila Lucas – Morningstar]: It was my understanding that the MRAP’s, the old legacy MRAP’s were kind of being replaced obviously with the M-ATV’s and given that the MRAP’s are kind of bolt on wheels, I didn’t see their viability for places such as Afghanistan or other rigorous terrain countries.
Robert Bohn: There are additional opportunities. We can’t predict whether we’re going to be able to land any of them. Each one is a competition in itself, but there’s still some out there.
[Davila Lucas – Morningstar]: Dealing with the JLTV contract, I understand Oshkosh wasn’t selected and now there’s the opportunity at your own discretion to use internal funding to submit a second vehicle. But realizing now that there’s more of an insatiable demand for ATV’s I’m wondering if as you look and see it, maybe the MRAP ATV kind of takes over or becomes, might be a good replacement for potentially a JLTV like vehicle.
Robert Bohn: There’s an ongoing debate in the Pentagon in terms of the pass forwards and we’re not real intimate into that debate. There is a possibility that the M-ATV could have growing demand in the coming years to meet some of the requirements of JLTV. There’s also just the stronger possibility that the current JLTV program will proceed and our future M-ATV sales could be BFMS. So those debates are above our pay grade in the Pentagon.
Operator: You're next question comes from David Raso – ISI Group.
David Raso – ISI Group: On the M-ATV truck units, with the guidance you gave for the next couple of quarters it should be up to about 7,900 trucks. What’s the total number you’re thinking about and give us some insight on how you’re thinking about units for M-ATV in fiscal ’11.
Charles Szews: Currently we have 8,079 under contract so that would apply 200 to 300 in fiscal 2011 for those units currently under contract.
David Raso – ISI Group: What are your thoughts beyond that? How would you handicap that number in ’11?
Robert Bohn: We just don’t know yet. We don’t know. There are some SMS opportunities that could break, but it’s too early to comment on anything right now.
David Raso – ISI Group: If you don’t get any incremental units, it looks like you’ll put up a total of $3.75 billion or so of revenues from just the trucks, on the M-ATV not including the parts. How would you handicap ’11 and ’12. What percent of that $3.75 billion do you think you’ll have a parts stream coming off that for M-ATV?
Robert Bohn: We just don’t know.
David Raso – ISI Group: Is the 15% you feel again, a little bit of an anomaly for third quarter just given you make the comment about pull forward or do you feel it could have that kind of tail. Just structurally, how do you think about it?
Robert Bohn: I think what we saw in the second quarter we’ll continue to see in the third quarter as what we would characterize as the initial provisioning of parts for these vehicles, and that will continue largely through our fiscal 2010 and into early 2011, and then beyond that, that’s when it really gets I think difficult for us. It will largely depend on use of the vehicles in theater and damage repair and those type items.
David Raso – ISI Group: It looks like the average unit price, if I’m doing the math right, actually went up somewhat notably sequentially. I think when you run the numbers it’s anywhere from 3% to 8% and you mentioned the escalators, so I’m just trying to think of passing on any higher costs. Is it that immediate? Did you see an average price point already go up sequentially?
David Sagehorn: We don’t have any price escalators in the M-ATV at all. We had higher parts and service in Q2 than we did in Q1 if you’re taking it that way.
David Raso – ISI Group: The non M-ATV part of Defense grew about 8.5% for the quarter. How would you be thinking about that looking out? I know it obviously depends on how some of the programs play out, but kind of what you have line sight for right now. How would you handicap the growth rate for the non M-ATV part of Defense?
Robert Bohn: Through the rest of the year?
David Raso – ISI Group: Left the question open ended. Hope you’ll talk about ’11 too.
Robert Bohn: Let’s talk about the rest of 2010. We had a very strong first quarter for the FHTV program and other non M-MATV business that will be a little lower in the second half of the fiscal year we believe on what we see today. And in terms of 2011, we really aren’t providing comments on outlook for each of the specific programs.
David Raso – ISI Group: Access X any military, structurally we can make our forecasts on the revenue growth. How do you think of that business on the way it’s configured currently as an incremental margin? However you want to think about ’11, ’12 growth, leave that up to us I guess, but how do you think of that business coming off its current state. How do you configure the costs? What type of incremental margin should we expect for ’11?
David Sagehorn: With taking costs out I would expect that we would see better incremental margins than we had in previous up turns. And beyond that, we’re just getting into our budgeting process for fiscal 2011 and we’ll have a better view of that as we head through the remainder of the year here.
Operator: You're next question comes from Steve Barger – Keybanc Capital Markets.
Steve Barger – Keybanc Capital Markets: In terms of foreign military sales, I know you don’t want to discuss who and when, but when you’re thinking about those contracts and talking to those governments, are you realistically talking hundreds or thousands of units potentially?
Robert Bohn: Hundreds probably. Could it exceed 1,000, yes. It’s very, it’s too early to really know what the number is going to be.
Steve Barger – Keybanc Capital Markets: But realistically it probably is smaller than what you could sell. Realistically it’s probably more in the hundreds than 1,000.
Robert Bohn: Per country.
Steve Barger – Keybanc Capital Markets: I’m going to try another big picture Defense question. You’re facing a big mix shift going into ’11. Can you think about maybe the right margin for next year? Is it more directionally high single digit like ’01 and ’02 or can it be low teen like the quarters prior going into M-ATV. How should we think about that profitability in the out year.
David Sagehorn: Without again us having gone through the full budgeting process, what I would say is I think it would be closer to what we experienced pre M-ATV than what you said for the low end.
Robert Bohn: Defense business is still going to be good in ’11. We’re a little bit cautious in terms of where the volumes are going to hit here right now because we don’t have everything definitized, but we do know enough that we’re going to have a good Defense business next year.
Operator: You're next question comes from Chase for Jamie Cook – Credit Suisse.
Chase for Jamie Cook – Credit Suisse: Getting back to the parts commentary on the pull forward into this year, what I’m trying to understand is how much of that is actually being pulled forward versus maybe conditions on the ground are indicating that parts as an overall percentage of the contract maybe is higher than what you’re initially thinking. So 2011 may be, I know there’s a tail. Maybe you don’t have that same recurring amount that you had in 2010, but maybe there isn’t as much of a drop off. Do you see where I’m going?
Charles Szews: I know we had a comment in our prepared remarks about pull forward and I think what we were trying to communicate was that when we first received our spare kits delivery orders, there is a schedule attached to them, and our customer continues to talk to us about potentially pulling forward that schedule because we’re in this conflict. So we continue to look at that. So we are thinking pulling forward from the comments that we had prepared relative to our sales in the next few quarters that we could pull forward from fiscal ’11 to ’10. I think what you’re talking about here is how does that impact our sales next year. Again, I think most of our sales relative to M-ATV in terms of parts and service next year is going to be relative to damage repair except for what was naturally scheduled in next year. We’re going to still have a large contingent of FSR’s in theater. We have well over 200 there today. So it still should be a situation where there’s quite a bit of aftermarket next year. How much that quite a bit means, that’s hard for us to quantify.
Chase for Jamie Cook – Credit Suisse: I guess what I’m getting at is, has anything changed on the ground that you’re hearing from the customer that would suggest that you absolutely have to get this pulled forward? I know there’s a lot of conflicting reports out there about what’s going on. I’m trying to figure out what you’re hearing.
Robert Bohn: Overall, I think our customer would tell you that they’re very pleased with our production and delivery performance on both vehicles and parts.
Operator: This brings us to the end of the Q&A session. I’d like to turn the floor back over to management for any closing comments.